Operator: Good day, and thank you for standing by. Welcome to the Summit Hotel Properties, Inc. Fourth Quarter 2025 Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Kevin Milota. Please go ahead, sir.
Kevin Milota: Thank you, operator, and good morning. I'm joined today by Summit Hotel Properties' President and Chief Executive Officer, Jon Stanner; and Executive Vice President and Chief Financial Officer, Trey Conkling. Please note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to risks and uncertainties, both known and unknown, as described in our SEC filings. Forward-looking statements that we make today are effective only as of today, February 26, 2026, and we undertake no duty to update them later. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced on this call on our website at www.shpreit.com. Please welcome Summit Hotel Properties President and Chief Executive Officer, Jon Stanner.
Jonathan Stanner: Thank you, Kevin, and good morning, everyone. Thank you for joining us today for our fourth quarter and full year 2025 earnings conference call. As I reflect on last year, I'm pleased with how we executed in what was a complex and challenging operating environment. Coming out of the first quarter, we understood the year would be defined by uncertainty surrounding macroeconomic conditions, demand visibility and certain policy-related headwinds and I'm proud of how our teams responded. Throughout the year, we remained disciplined and focused on the aspects of the business we can control, growing market share, managing expenses, strengthening the balance sheet, allocating capital prudently and investing in our portfolio to best position Summit for long-term shareholder value creation. On today's call, we will provide details on our fourth quarter and full year 2025 results, offer our perspective on the current lodging environment and our outlook for 2026, and highlight our recent capital recycling and balance sheet activities. In the fourth quarter, we experienced an encouraging positive inflection in demand compared to the second and third quarter of 2025, as RevPAR trends improved sequentially by over 200 basis points, resulting in a fourth quarter same-store RevPAR decline of 1.6%. Demand patterns generally stabilized throughout the quarter despite the incremental pressure created by the October government shutdown. In particular, midweek results reflect stable underlying group demand and growing corporate travel, which allowed us to increase rates in each of these segments for both the fourth quarter and full year. Government and international inbound demand, which combined represent approximately 10% to 15% of total room nights across our portfolio, continued to create meaningful headwinds in the quarter, declining approximately 20% on a blended basis. Excluding these 2 segments, our fourth quarter RevPAR grew by approximately 60 basis points year-over-year, reflecting the overall relative strength of other segments. These are encouraging trends as we move into 2026, particularly with easier government demand comparisons on the horizon. Our teams continue to do a terrific job growing market share with our fourth quarter RevPAR index improving by 220 basis points to an index of 117, reflecting the high-quality nature and locational strength of our portfolio, complemented by our expertise in revenue management. We are approaching and in many markets surpassing all-time post-pandemic market share highs across our portfolio. For the full year, same-store RevPAR declined 1.8%, driven predominantly by lower average daily rates as demand shifted towards lower-rated segments starting late in the first quarter when the significant reduction in government demand first began to materialize. While weakness in government demand and international inbound travel has been well documented. It is important to emphasize that demand patterns in other segments have been stable. And we are expecting year-over-year results to improve as comparisons ease starting in the second quarter. From a capital allocation perspective, we continue to execute on our disciplined capital recycling strategy during the fourth quarter, closing on the sale of 2 noncore hotels, the 107-room Courtyard Amarillo Downtown, which was owned in our joint venture with GIC and the wholly owned 123-room Courtyard Kansas City Country Club Plaza. These dispositions generated aggregate gross proceeds of $39 million, reflecting a blended yield of 4.3% based on trailing 12-month net operating income after consideration of approximately $10 million of foregone near-term capital expenditures. In addition, last week, we closed on the sale of the 122-room Hilton Garden Inn in Longview, Texas, another noncore asset owned in our GIC joint venture. The $12.3 million sale price represented a 6.7% capitalization rate based on the estimated trailing 12-month net operating income after consideration of approximately $2.6 million of foregone near-term capital expenditures. These 3 assets had a blended RevPAR of $89, a nearly 30% discount to the current pro forma portfolio. Since 2023, we have sold 13 noncore hotels, generating approximately $200 million of gross proceeds and eliminating nearly $60 million of anticipated capital expenditures at an approximate 4.6% net operating income capitalization rate. These sales reflect our disciplined approach to monetizing lower growth, capital-intensive assets and redeploying proceeds to enhance liquidity, reduce leverage, and support higher return uses across the portfolio. As we turn to 2026, we believe the fundamental setup for our industry is improving and several company-specific tailwinds position Summit for a positive year. We expect demand trends broadly to continue to improve and year-over-year comparisons to ease as we move through the year. Historically low levels of new supply support incremental demand growth, translating into both occupancy and rate gains in 2026 and for the foreseeable future. While we remain mindful of near-term volatility, we believe these trends create a more constructive backdrop for top line growth in 2026. With that context, we're introducing our initial outlook for the year. Trey will walk through the details of our ranges later in the call. But broadly speaking, our guidance reflects modest top line growth supported by improving fundamentals, disciplined expense management and the cumulative benefits of our capital reinvestment and recycling efforts, which have enhanced our portfolio and strengthened the balance sheet. The company is poised to benefit from several special events in 2026, notably the FIFA World Cup. We have exposure to 6 World Cup host markets, which together account for nearly 60% of the matches played domestically, providing a unique demand tailwind in June and July. In addition, convention and special events calendars are favorable in several of our key markets. And we expect continued normalization of government-related demand and international inbound travel as year-over-year comparisons begin to ease in the second quarter. We expect full year 2026 RevPAR to range from flat to up 3%, driven predominantly by gains in average daily rates. While our outlook for the full year is constructive, we expect the first quarter to be the most difficult of the year with RevPAR trending in line with our fourth quarter 2025 results. January RevPAR declined approximately 3% despite a strong start to the month as Winter Storm Fern created significant disruption across our portfolio. We also faced difficult comparisons in the quarter as our first quarter last year benefited from incremental demand created by natural disasters in Florida and California; and Super Bowl 59 being hosted in New Orleans, where we have 6 hotels. February represents our most difficult comparison of the quarter as portfolio RevPAR increased over 7% last year. Finally, the majority of our first quarter of last year was insulated from the significant reduction in government demand we experienced for the remainder of the year. Despite these challenges, our outlook is trending positive as March pace is down less than 1% year-over-year and April pace is up year-over-year, reflecting the ongoing gradual improvement in demand patterns we see across the portfolio. It is important to highlight these pace improvements come at a time of the year prior to lapping the sharp pullback in government demand we experienced last year over the same period, making these trends even more encouraging. In summary, we believe our industry is beginning 2026 with modest expectations, but with meaningful upside driven by the continued improvement in several of the demand patterns we are already experiencing in our business. Longer term, we are poised to benefit from an extended period of low supply growth and the ongoing societal prioritization of travel and experiences. Summit is uniquely positioned to benefit from these conditions given our high-quality portfolio, efficient cost structure, and strong balance sheet. Our priorities in 2026 remain clear: a continued relentless focus on optimizing hotel profitability, prudently allocating capital and strengthening our balance sheet, all of which will drive long-term shareholder value. With that, I will turn the call over to Trey, to walk through the financial results and balance sheet in more detail.
William H. Conkling: Thanks, Jon, and good morning, everyone. Fourth quarter 2025 RevPAR demonstrated sequential improvement of 240 basis points from the third quarter as operating fundamentals outside of government and inbound international demand remained resilient in the face of broad macroeconomic uncertainty. Fourth quarter pro forma RevPAR declined 1.8%, driven by occupancy and average daily rate declining by 0.7% and 1.1%, respectively. This outperformed our RevPAR expectations for the quarter of down 2% to 2.5%, as we experienced stability in group and strengthening business transient fundamentals as well as a mix shift to higher-rated demand segments. Several core markets demonstrated strength in the fourth quarter, including San Francisco, Orlando, South Florida and Nashville. San Francisco is benefiting from improved perception as the market experienced strength from citywide conventions, event-driven leisure demand and improving business travel, which drove outsized RevPAR growth of over 40% year-over-year during the quarter. Two citywide events, including Dreamforce, which shifted into the fourth quarter and Microsoft Ignite were key contributors to our hotel performance in Fisherman's Wharf and Oyster Point. In addition, continued strength in corporate demand, particularly in the Silicon Valley submarket, resulted in another strong quarter for our Hilton Garden Inn Milpitas. Looking ahead, we expect continued growth for San Francisco in 2026, driven by citywide events, increasing business transient demand and broader Bay Area activity surrounding Super Bowl 60 and the World Cup. In Orlando, all 3 of the company's assets are benefiting from the recently opened Epic Universe Park, driving growth in both the leisure and group segments. RevPAR for our Orlando properties increased 9% in the fourth quarter as strong demand enabled our hotels to shift away from advanced purchase rates and back toward higher-rated retail channels, driving meaningful ADR improvement. In South Florida, where RevPAR grew 4% during the fourth quarter, our hotels are experiencing sustained momentum across leisure, corporate and special event demand, supported by a strong local economy and a continued wave of new business and investment activity in the region. Miami continues to benefit as a destination for corporate relocations, financial services and international business, translating into solid corporate transient and group demand. In particular, our newly renovated Oceanside Fort Lauderdale Beach is delivering very strong results with fourth quarter RevPAR, total revenue and gross operating profit increasing 9%, 39% and 53%, respectively, as the renovated rooms product and multiple Oceanfront food and beverage outlets are resonating with guests. We expect another strong year in 2026 from our South Florida properties, which are off to a great start in the first quarter, supported by the College Football National Championship held in January and incremental leisure demand, partially driven by the harsh winter conditions in the Northeast and Midwest. Looking ahead, our portfolio is well positioned to capitalize on World Cup-related activity in South Florida, alongside the continued ramp-up and stabilization at the Oceanside Fort Lauderdale Beach. In Nashville, fourth quarter performance was primarily driven by strong sports-related and group demand, complemented by our focused transient revenue strategies aimed at capturing high-value weekend leisure travelers. This deliberate mix shift allowed us to optimize rate on peak nights, drive incremental occupancy around key events and further strengthen our properties' position within a resilient and experience-driven market. Non-rooms revenue increased 9% and 5% for the fourth quarter and full year 2025, respectively, in our pro forma portfolio. Food and beverage revenue continues to benefit from the re-concepted restaurant and bar offerings at the aforementioned Oceanside Fort Lauderdale Beach. Our reprogrammed breakfast offering at certain hotels and other ongoing initiatives aimed at improving breakfast and beverage sales. Other non-rooms revenue growth was driven by strong increases in marketplace sales, parking income and resort and amenity fees. We are encouraged by the growth of these ancillary revenue streams and expect this trend to continue in 2026. Fourth quarter adjusted EBITDA was $39.7 million and adjusted FFO was $22.3 million or $0.18 per share as the company benefited from lower interest expense and a reduced share count resulting from our accretive share repurchases completed in the second quarter. For the full year 2025, same-store RevPAR declined 1.8%. Adjusted EBITDA was $174.8 million and adjusted FFO was $0.85 per share. The company's intense focus on expense management resulted in pro forma operating expenses increasing approximately 2% year-over-year. Throughout the year, our asset managers and third-party operators executed effectively on wage management initiatives, reduced reliance on contract labor and improved employee retention. For the year, contract labor declined nearly 9%. And contract labor currently represents less than 10% of total labor costs, which is approaching pre-pandemic levels. We also continue to experience improvement in employee retention, which is driving higher productivity, lower training costs and enhanced guest satisfaction. Turnover rates at year-end 2025 have declined approximately 24% from year-end 2024, highlighting the ongoing stabilization of the labor market. From a capital expenditure perspective, for the full year 2025, we invested approximately $75 million across our portfolio on a consolidated basis and $63 million on a pro rata basis. Ongoing and completed renovations during 2025 include the Oceanside Fort Lauderdale Beach, Courtyard Charlotte, Residence Inn Madrid, Scottsdale Oldtown Hyatt Place and the Atlanta Midtown Residence Inn. Over the past 3 years, we have invested more than $250 million in capital expenditures on a consolidated basis, reflecting our continued commitment to maintaining a best-in-class portfolio. Our 2026 pro rata capital expenditure guidance is $55 million to $65 million, which is consistent with our spend in 2025 and a level we believe is sustainable going forward. This represents a significant reduction relative to the elevated capital spend from 2022 through 2024 as the company addressed deferred capital investment related to the pandemic. Turning to the balance sheet. During 2025, we made significant progress in extending maturities, reducing borrowing costs and enhancing corporate liquidity. Subsequent to year-end, we fully drew our $275 million delayed draw term loan to retire the $288 million, 1.5% convertible senior notes that matured in mid-February. Pro forma for this refinancing, we have no debt maturities until 2028. Adjusting for swap activity in the third and fourth quarters as well as the retirement of the fixed rate convertible notes and the draw on the floating rate delayed draw term loan, approximately 50% of our pro rata share of debt is fixed. Including the company's Series E, Series F and Series D preferred equity within our capital structure, we were over 60% fixed on a pro rata basis. With ample liquidity, an average interest rate of 5.5% and an average length to maturity of nearly 4 years, we believe the company is well positioned to navigate any potential near-term volatility while pursuing value creation opportunities. On January 22, 2026, our Board of Directors declared a quarterly common dividend of $0.08 per share, representing a dividend yield of approximately 7.7% based on the annualized dividend of $0.32 per share. The current dividend continues to represent a modest payout ratio relative to our trailing 12-month AFFO. The company continues to prioritize striking an appropriate balance between returning capital to shareholders, investing in our portfolio, reducing corporate leverage and maintaining liquidity for future growth opportunities. Included in our press release last evening, we provided full year guidance for key 2026 operational metrics in addition to certain nonoperational items. For the full year, we anticipate RevPAR growth of 0% to 3%, which translates to an adjusted EBITDA range of $167 million to $181 million and an adjusted FFO range of $0.73 to $0.85 per share. It is worth noting that the company's 2 asset sales from the fourth quarter of 2025, the Courtyard Kansas City and the Courtyard Amarillo, as well as the recently announced sale of the Hilton Garden Inn Longview contributed approximately $1.6 million in adjusted EBITDA or $0.01 of AFFO per share in 2025. Based on the indicated RevPAR range of 0% to 3%, we expect margins to be flat to down 100 basis points, which incorporates approximately 25 basis points of headwinds from higher property taxes and implies operating expenses increasing between 2% and 3% year-over-year. We expect pro rata interest expense, excluding the amortization of deferred financing costs to be $57 million to $61 million, which includes an incremental $9 million from the recent refinancing of the 1.5% convertible notes with the delayed draw term loan. Preferred distributions, including the Series E, Series F and Series D securities are forecasted to be $18.5 million. This outlook does not include any additional acquisition, disposition or capital markets refinancing activity beyond what we have discussed today. Finally, the GIC joint venture results in net fee income payable to Summit covering approximately 15% of annual pro rata cash corporate G&A expense, excluding any promote distributions Summit may earn during the year. With that, we will open the call to your questions.
Operator: Our first question will come from the line of Austin Wurschmidt with KeyBanc Capital Markets.
Austin Wurschmidt: Jon, you discussed the booking pace accelerating into March and April. Can you just dig into kind of the visibility that you have in length of the booking window that underlies your confidence in the trends in the months ahead?
Jonathan Stanner: Yes, sure. Thanks, Austin. Look, I think as we said, we've seen some very positive indications from a pacing perspective, really throughout most of the beginning of the year. But I'd say even more specifically over the last couple of weeks. That's translated into a pretty meaningful improvement in March. We're actually now pacing slightly positive for March. Our pace for April has turned almost up mid-single digits. I think what gives us the most optimism around that is, as we said, we still have not lapped the point where we started to see the effects of the pullback in government demand. So we're still kind of comping against periods where government demand was in place at this point last year. So we have seen -- again, I think a lot of this has been the continued solid performance midweek and particularly in urban markets. I do think we are seeing some near-term lift in Arizona and Florida markets from folks potentially relocating away from Mexico, given some of the security concerns there. So we do think that's going to give us a bit of a lift, particularly over the spring break period. But I would say more generally, the demand trends and the patterns that are giving confidence are fairly broad-based.
Austin Wurschmidt: Then you mentioned that rate growth is really underlying the RevPAR growth outlook this year. Is that consistent with what you're seeing in terms of the pace figures in the months ahead? And just for the year, which segments really do you expect to be the biggest drivers of that improvement year-over-year?
Jonathan Stanner: Yes. Again, I'd say generally broad-based. But I do think we're -- today, what we're seeing is better performance and better lift midweek. And so I would expect the majority of that lift to come from the BT and group segments. But again, I do think we're encouraged with some of the signs we've seen on the leisure side as well. But I would say it's kind of a 2/3, 1/3 mix for us going into the year. And I think 2/3 will come from rate growth, which obviously has positive flow-through implications to the bottom line.
Austin Wurschmidt: Then just last one from the World Cup perspective. I mean, how much lift do you have really that we'd call World Cup or event specific this year? You highlighted a number of events, but I assume World Cup is a big piece of that. Could you just kind of peel that off of the 0% to 3% RevPAR growth outlook?
Jonathan Stanner: Yes, sure. Look, I will say we're very constructive around World Cup. I do think the industry has tempered expectations to some extent around what that will actually drive. What we pointed out on the call and what I'd emphasize is a couple of things. One, we've got exposure to about 60% of the matches domestically and it touches about 1/3 of our total portfolio. And so we do have a significant amount of exposure to the World Cup. When we roll it up, again, we expect to see the vast majority of the benefit of those matches in the 6 markets where we host. I think the biggest impacts -- positive impacts for us will come in markets like Atlanta, Miami, and Dallas. But we also expect to see some lift in a market like Orlando, where people will kind of tack on an extra trip in South Florida potentially from Miami. When we roll it all up for our outlook, we think it probably adds plus or minus 50 to 75 basis points to our full year expectations.
Operator: [Operator Instructions] Our next question will come from the line of Michael Bellisario with Baird.
Michael Bellisario: Jon, on your 0% to 3% RevPAR guide, can you maybe help us go from sort of a broader industry outlook to stacking some of the market or asset-specific drivers that are boosting your forecast, maybe like Fort Lauderdale, assumed ramp-up in Asheville, any other markets or assets to call out that are lifting your outlook relative to the broader industry trends?
Jonathan Stanner: Sure. Look, I think at the midpoint of our range, we're probably not too far off of where most industry forecasts are for the year. I think you did highlight a couple of what I'll call Summit-specific tailwinds for this year. One is the lift we expect to get in Fort Lauderdale. And Trey commented on this in the prepared remarks. We are seeing tremendous lift since the renovation has completed. We do lap kind of the renovation comp for the first part of the year. So we'll obviously some significant year-over-year growth. But I think more importantly and more sustainably, we just think that, that asset is going to continue to perform incredibly well given the capital that's been invested there and the market that is strong. Asheville is another one that we have. We're still recovering from the storm a couple of years ago that we expect to have strong performance. We expect all of our World Cup markets to perform. I talked a little bit about that just a minute ago. But it is meaningful for us given the significant percentage of assets we have in those markets. And then obviously, there are markets like San Francisco, which we expect to continue to be very strong. Obviously, off to a great start to the year with not only the convention calendar, but the Super Bowl is also another World Cup market, which we think we will see some benefits from. I'd also highlight the South Florida market generally, even outside of Fort Lauderdale. The trends we've seen in Miami, particularly in Brickell, we're off to a tremendous start to the year there and expect that to continue to be a very strong market. And Tampa, once it laps the weather comps from the first quarter in Orlando are both doing very, very well. Orlando, again, is the beneficiary of the new park that's come in at Universal, which is driving incremental demand.
Michael Bellisario: Then just to go back to the prior question on the booking window. I just want to dig a little deeper there. Any changes in discounting or advanced purchase rates? Are you still grouping up? Just anything beneath the surface that you're seeing or doing that gives you more confidence looking ahead? And that's helpful.
Jonathan Stanner: Yes. Sure, we talked a bit about this -- a lot about this in the second and third quarter. And I think when we looked at -- and we tried to emphasize this on the call. The pressure we saw on RevPAR, particularly in the second and third quarter of the year was so much driven by the pullback in government and international inbound demand. And part of the knock-on effects of that was it forced us to remix our business. And part of that remixing was into lower-rated channels, particularly lower-rated leisure travels, more OTA exposure, more advanced purchase exposure. We definitely tried to create a layer of group and advanced purchase demand. I think we are successful doing that. I think what's given us some encouragement is while we were still down in the fourth quarter. And we expect the first quarter to still have these government-driven headwinds, we've been forced to do less remixing. And we are seeing a little bit more stability and growth in some of these other segments. And obviously, we're going to get to a point where we lap the very difficult government comparisons. So again, what we've tried to emphasize is that outside of those demand segments, the performance of other segments of our business has held up reasonably well. I wouldn't say we've seen any significant widening of the booking window at this point. I will say that, again, we feel like there is more and more incremental demand that's helping offset some of the falloff from the government segment in particular.
Operator: Our next question will come from the line of Chris Woronka with Deutsche Bank.
Chris Woronka: Apologies if you might have covered all or part of this earlier. But I was really trying to get a sense for -- as we look out kind of World Cup, 2Q, you have a little bit more visibility now maybe. I'm trying to get a sense for whether you think there's before and after? Is there a lull before and after? And so the markets where you have exposure, is it -- do you have enough visibility to see what happens before? I think the question is really, does any of the benefit you're likely to get offset at all by things that people not visiting immediately before or after the games?
Jonathan Stanner: Look, it's not something that has been particularly high on our list of concerns. I certainly understand that perspective. Look, we think kind of net-net, this is going to be a very positive event for the industry, certainly for our portfolio, given the exposures. I will say and kind of to that point, Chris, part of how we've approached the event, not dissimilar to how we typically approach Super Bowls is we like to create a layer of base demand on the books. We typically try to get some longer term stay business, whether it's media or takedown setup type of business particularly where we have guaranteed nights for extended lengths of time. And we think that helps derisk match-up scenarios that may not be as favorable. If there is some softness in the transient pickup, we derisk that to some extent because we've created this base layer of demand. We've taken a very similar approach. Our approach has been very tailored by market because our hotels have different locational strengths and weaknesses relative to where either the fanfests are located or the actual stadiums are located. So those strategies are customized by market. But by and large, I would say we approach this in a way where we try to strike the right balance between taking a base layer of group at still high rates. I think the rates on the books we have over the World Cup period are north of $300. So we still have very attractive rates on the books. But we do it in a way where, again, we derisk a little bit of the kind of in the period for the period risk around potential matchups. So that's been our approach consistent with how we've approached Super Bowls in the past.
Chris Woronka: Then as a follow-up, I don't know if there's been any discussion if we drill down a little bit deeper on Hyatt stuff. I know there's the points, big changes to points coming up not great as a customer, but hopefully helpful for you guys. And I know there's been discussions in the past about breakfast at Hyatt Place or Hyatt House. Any color you guys would add? Is that going to be -- is there any measurable benefit you see going from your Hyatt?
Jonathan Stanner: Yes. We did -- as you alluded to, we did beta test in a number of our assets, the pay-for breakfast concept at Hyatt Places. I would say, generally speaking, it was successful to the bottom line. I think Hyatt is still evaluating. And we're still working with Hyatt on the evaluation of how that gets rolled out more broadly. But it is something that we felt some benefits of in the second half of last year. I would say more broadly in terms of kind of points and loyalty in these programs. I think, again, the brands have been receptive to making sure that as those loyalty programs are growing, some of that benefit accrues to the hotel owners.
Operator: This will now conclude today's question-and-answer session. And I would like to hand the conference back over to Jon Stanner for closing remarks.
Jonathan Stanner: Well, thank you, everyone, for joining today for another earnings conference call. We do look forward to seeing many of you at some of the upcoming conferences we have, but we hope you have a wonderful day. Thank you.
Operator: This concludes today's conference call. Thank you for participating. And you may now disconnect.